Operator: Good morning. My name is MJ, and I will be your conference operator today. At this time, I would like to welcome everyone to the Lindsay Corporation Fourth Quarter Fiscal Year 2022 Earnings Call. All participants’ will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] During this call, management may make forward-looking statements that are subject to risks and uncertainties, which reflect management's current beliefs, estimates of future economic circumstances, industry conditions, company performance and financial results. Forward-looking statements include the information concerning possible or assumed future results of operation of the company and those statements preceded by, followed by or including the words expectation, outlook, could, may, should or similar expressions. For these statements, we claim the protection of the Safe Harbor for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. Please note this event is being recorded. I would now like to turn the call over to Mr. Randy Wood, President and Chief Executive Officer.
Randy Wood: Thank you and good morning, everyone. Welcome to our fourth quarter and full-year earnings call, and with me today is Brian Ketcham, our Chief Financial Officer. Fiscal 2022 was a dynamic year where we recognized record revenues and earnings per share. It was a year marked by robust demand in our global irrigation business, highlighted by tremendous growth in our international regions. In our infrastructure business, our teams demonstrated tremendous perseverance and finished the year strong, delivering two Road Zipper systems projects. We continue to make investments in our global footprint, and this has allowed us to take advantage of global market tailwinds in high growth markets, including Brazil and the Middle East. Despite inflationary pressures, logistics challenges, and supply chain shortages, we were able to prioritize investments this year to support the strong demand in our irrigation business to make sure products were available when our customers needed the most. Navigating and rising above these challenges each day are our people, who are relentless in their pursuit to support our customers and our business around the world. We thank our teams for all they're doing to contribute to the success of our customers and our company, I'm very proud of the job they've done. In the area of sustainability. In July, we released the fourth edition of our annual environment social and governance or ESG report. This report highlights the progress we're making in establishing and meeting our goals in important areas that include investing in sustainable technologies; improving our operational footprint; empowering our people; engaging in our local communities; and operating with integrity. I'm encouraged by the progress we've made and look forward to continuing to provide solutions that address some of the world's most pressing issues. Turning to irrigation market conditions. The market continues to see a combination of factors impacting customer sentiment and business growth. In North America, commodity prices and net farm income are projected to remain strong. Droughts across broad geographies continues to highlight the opportunity for irrigated agriculture and a strong storm season also drove demand in North America in our fourth quarter. Customers continue to deal with rising costs that include inputs, labor and cost of capital. This will have some impact on market upside, but we would not expect this to create significant headwind at this time. In international markets, we see some of the same strong market fundamentals connected to global commodity prices and farm income having a positive impact in the mature markets that include Australia, New Zealand, Western Europe and Brazil. Brazil continued to set shipping records, and our business there has more than doubled on a year-over-year basis. We continue to see project activity across Central Asia and the Middle East connected to food security. Our global manufacturing and commercial footprint allow us to participate and win these large projects around the world. Moving to infrastructure. Macro indicators remain strong in the U.S. with the states having full access to the infrastructure bill funds. The increased funding has translated to state and local government contract awards increasing by 16% on a year-over-year basis. The purchasing power of this increase has been partially offset by the impact of inflation, which has required some projects to be delayed, rescoped or rebid. We continue to actively manage the Road Zipper sales funnel and have returned to pre-pandemic travel and customer engagement levels. This has allowed us to start moving projects through the funnel and as previously communicated, one project in the Northeast started shipping in the fourth quarter and will continue into the first quarter of 2023. I'll now turn the call over to Brian to review our fourth quarter and full year financial results. Brian?
Brian Ketcham: Thank you, Randy, and good morning, everyone. Total revenues for the fourth quarter of fiscal 2022 increased 24% to $190.2 million, compared to $153.6 million in the same quarter last year. Net earnings for the quarter were $17.9 million or $1.62 per diluted share, compared to net earnings of $5.8 million or $0.53 per diluted share in the prior year. Total revenues for the full-year of fiscal 2022 increased 36% to $770.7 million, compared to $567.6 million in the prior fiscal year. Net earnings for fiscal 2022 were $65.5 million or $5.94 per diluted share, compared to net earnings of $42.6 million or $3.88 per diluted share in the prior fiscal year. Irrigation segment revenues for the fourth quarter increased 20% to $150.5 million, compared to $125.3 million in the same quarter last year. North America irrigation revenues of $80.1 million increased 50%, compared to last year's fourth quarter. The increase in North America irrigation revenues resulted from a combination of higher irrigation equipment unit sales volume and higher average selling prices. Higher unit sales volumes resulted primarily from increased storm damage replacement demand, compared to the prior year fourth quarter. In international irrigation markets, revenues of $70.4 million were slightly lower, compared to last year's fourth quarter and this includes unfavorable effects of foreign currency translation differences of approximately $3.5 million. Strong sales growth in Brazil, Europe and other markets more than offset Egypt project sales of $17 million in the prior year that did not repeat. Total irrigation segment operating income for the fourth quarter was $24.2 million, an increase of 129%, compared to the prior year fourth quarter and operating margin was 16.1% of sales, compared to 8.4% of sales in the prior fourth quarter. The increase in operating income and operating margin resulted from higher unit sales volumes improved price realization and lower inflationary headwinds, compared to the prior year fourth quarter. For the full fiscal year, total irrigation segment revenues increased 41% to $665.8 million, compared to $471.4 million in the prior year. North America irrigation revenues of $355.7 million increased 30%, compared to the prior year and international irrigation revenues of $310.1 million increased 57%, compared to the prior year. Irrigation segment operating income for the full fiscal year was $105.8 million, an increase of 67%, compared to the prior year. And operating margin was 15.9% of sales, compared to 13.4% of sales in the prior fiscal year. Infrastructure segment revenues for the fourth quarter increased 40% to $39.7 million, compared to $28.4 million in the same quarter last year. The increase resulted from higher Road Zipper System project sales, which were partially offset by lower lease revenue, compared to the prior year. During the quarter, we delivered approximately $16 million of a $24 million barrier replacement project in Massachusetts and expect deliveries to continue in the first quarter of fiscal 2023. Infrastructure segment operating income for the fourth quarter increased 97% to $11.5 million, compared to $5.8 million in the same quarter last year. Infrastructure operating margin for the quarter was 28.8% of sales, compared to 20.5% of sales in the prior year. Improved current year results reflect the increase in Road Zipper System sales, compared to the prior year fourth quarter. For the full fiscal year, infrastructure segment revenues increased 9% to $104.9 million, compared to $96.3 million in the prior year. Infrastructure operating income for the full fiscal year was $18.3 million, compared to $20.2 million in the prior year. And operating margin for the year was 17.5% of sales, compared to 21.0% of sales in the prior year. Results for the full-year reflect a less favorable margin mix of revenues, compared to the prior year, as well as the impact of under-absorbed fixed overhead costs in the first half of the current year. Turning to the balance sheet and liquidity. Our total available liquidity at the end of the fiscal year was $166.5 million, with $116.5 million in cash, cash equivalents and marketable securities and $50 million available under our revolving credit facility. At the end of the fiscal year, we were well within the financial covenants of our borrowing facilities, including a gross funded debt-to-EBITDA leverage ratio of 1.0, compared to a covenant limit of 3.0. We are well positioned going forward to invest in growth opportunities that create value for our shareholders. At this time, I'd like to turn the call over to the operator to take your questions.
Operator: Thank you. We will now begin with the question-and-answer session. [Operator Instructions] Today's first question comes from Nathan Jones of Stifel. Please go ahead.
Nathan Jones: Good morning, everyone.
Brian Ketcham: Good morning, Nate.
Randy Wood: Hi, Nathan.
Nathan Jones: I wanted to start off with a quick one on LIFO. Were there LIFO charges in the fourth quarter? And then can you -- I think it was like $20 million or something for the full-year in LIFO charges. Can you talk about any expectations for 2023, whether that’d be charges or income?
Brian Ketcham: Yes, Nathan, this is Brian. I think when you look at just the fourth quarter, compared to last year. Last year, we had call that about a $6 million negative impact overall from LIFO, $5 million of that being in irrigation. And then first and second quarters this year, we also had some negative LIFO headwinds. Third and fourth quarters, I would say there's been very little, if any, benefit from LIFO primarily being -- there's still some inflation. It's moderated, but our inventory levels from the end of our second quarter have not yet come down, so really no LIFO impact in our fourth quarter. As we look forward to 2023, as we potentially see some continued deflation in raw materials or our inventory levels start to come back down, we would expect to see some LIFO benefit coming through, but it's hard to predict at this point what the size of that might be.
Nathan Jones: Could you just give us the aggregate number for the ‘22 LIFO charge?
Brian Ketcham: Yes. So for ‘22, it was $8.8 million in total.
Nathan Jones: Okay. Thank you.
Brian Ketcham: With about $6 million -- yes, a little over $6 million of that being in irrigation.
Nathan Jones: Okay. Next one I want to ask is on price costs. Coil steel prices come down pretty significantly, though some other types have remain elevated, breakups have come down, probably electronic and labor is still going up. Can you just talk about kind of what direction you are seeing your overall cost go on a net basis?
Brian Ketcham: Yes. To your point, I think the steel coil has fallen over the last several months. It still remains higher than it was in the fall of 2020. At that same time, over the last several months, structural steel continued to increase over that period of time. And as you mentioned, other components, electronics, as well as labor costs have increased. What I would say right now and kind of what we experienced in our fourth quarter is costs have stabilized for the time being. And our view going forward is we may continue to have some slight inflation. But overall, our cost outlook is stable, at least for the first half of the fiscal year.
Nathan Jones: And just last one before I pass it on. Can you talk about the impact of price that you increased in ‘22 on 2023's revenue? What under level of growth you're expecting from carryover price?
Brian Ketcham: Yes. We expect in our first and second quarters to still have a little price benefit. I'd say first quarter maybe high single-digits, second quarter mid single-digits and then being relatively flat year-over-year as we lap the price increases from 2022. And that all depends also on what happens with raw material prices. But assuming a stable raw material pricing environment, that's kind of our outlook on the price impact going into 2023.
Nathan Jones: Okay. Thanks very much, Brian.
Operator: The next question comes from Ryan Connors of Northcoast Research. Please go ahead.
Ryan Connors: Hey, good morning. Thanks for taking my question.
Brian Ketcham: Good morning, Ryan.
Ryan Connors: So I wanted to -- and I apologize if I missed this. I know you talked about storm damage, but did you actually give a quantification of the impact of the storm damage in the quarter?
Randy Wood: Yes, good morning, this is Randy. And I'll take that question. And we haven't broken it out, Ryan. But what we can say is it was up fairly significantly this year versus prior years. And we always have some storm damage and it's moved around from the Southeast to the Midwest in different years. There was some strong storm activity in the Midwest regions, but we haven't broke that out in terms of volume specifically.
Ryan Connors: Okay, okay. And then is that generally a positive or a negative from a mix standpoint? I mean those would seem to be they want to replace those machines quickly. Is the pricing sort of normal for those? Or is it a little better than other orders?
Randy Wood: It's not a sales type where we attempt to get stronger pricing, I would say there's less competitive pressure on price in those purchase decisions, because it's more about timing and how quickly can you get the machine delivered, installed and get it irrigating again. So I would say pricing is normal, Ryan, but it's maybe less competitive just because timing is so important and price is less sensitive at that time.
Ryan Connors: Got it. I wanted to ask about the issue of sort of channel inventories. I know center pivots aren't necessarily held inventory by dealers, there's sort of more made to order. But in terms of parts and aftermarket supplies, there has been a lot of industrial companies talking about destocking cycles. Is there anything of note to mention there for you in terms of your parts and aftermarket product?
Randy Wood: In our view, there really isn't anything that would be substantial or drive a difference in our results, Ryan. Our dealers don't necessarily stock full machines. We do see some inventory go out in the summer months, just so dealers have it on the shelf, if they need to respond to storm damage very, very quickly. All of those machines, I would say, for the most part, have now been delivered and installed, but it shouldn't have a material impact on us going forward.
Ryan Connors: Got it. And then one last one, more of a bigger picture question, but the whole issue of water scarcity, obviously, very front center. And you've talked in the past about that being “good things” for you as long as it doesn't get too bad and water availability becomes an actual problem. Where do we stand on that spectrum of how bad that's gotten? And then also, if you could comment on some of these programs that have come out, I know the Department of Interior announced that program to actually pay farmers to reduce water consumption as part of that latest infrastructure bill. So if you can comment on that as well, that would be helpful.
Randy Wood: Sure. I'll take that one, Ryan. We're in the middle of our North American regional sales and strategy meetings now. So we spent the last several weeks kind of out with each of our dealers in the North American markets. We've got a similar meeting with our Europe, Middle East, Africa channel this week in Europe. So I think we've got a lot of really good, even if it's anecdotal feedback from our people in the field. And I think there are some markets, I would put kind of the Panhandle, West Texas and on that list right now where we've had customers that haven't been able to finish a crop. I know there’s been some new stories on the impact on the cattle industry, as well in that part of the world. That's maybe one where we've seen a lot of stress that could impact a winter week and it could impact purchase and planting decisions going into next spring. So that's the one that probably stands out where we see the greatest risk. And in the other parts of the country that are pivot markets where we see drought, we're not quite at a point that there's a lack of water that's going to prevent them from planting and finishing a crop next year. But we've got to continue to watch that because this drought started in the West, it's moved steadily east. And if you look at the current drought map, it's got a lot of really deep red in the middle part of the country, that's a core market area for us. So right now, that's the one area there, West Texas, Panhandle Texas that we see the greatest rest of the rest of the markets, we will continue to monitor. As far as government support goes, we've always benefited as an industry. And I think the government does recognize the importance of conserving and saving water and just a blanket statement really, any program that incents customers to consume less water, while producing food, fiber and fuel is going to be good for our business. And they have consistently supported our industry, because of the conservation benefits that we can create. So any dollar invested in that space is going to be good for us.
Ryan Connors: Super. Hey thanks for your time this morning.
Randy Wood: Alright. Thank you, Ryan.
Operator: The next question comes from Brian Drab with William Blair. Please go ahead.
Brian Drab: Hi, thanks for taking my questions. So first, I was curious if you can give us any additional color on the guidance. I mean from the guidance commentary, I guess, my takeaway is that you feel the domestic irrigation market is solid, but there's some uncertainty. Internationally, it's potentially stronger driven by food security. And I'm not sure what to take away in the infrastructure segment. I mean clearly, the infrastructure bill should be a positive. But I don't know if you could comment any more specifically on that and how that might affect fiscal ‘23. And are there any other Road Zipper projects in the pipeline? Just any more additional -- like can you talk about growth rates in these segments that you're expecting or directionally any other additional comments on guidance would be helpful.
Brian Ketcham: Okay. This is Brian. I'll take that one. Yes, as we start with domestic irrigation market, again, the positive ag fundamentals that are there, some of the drought-related impacts. We would expect to see steady demand and probably increase -- slight increase in demand in our first three quarters of the year. I think the fourth quarter with the storm damage that we had this year, we're not going to expect that to continue. So when you put that all together, maybe it's more closer to flattish year-over-year from a volume standpoint. But again, that's off of a base of pretty solid demand. I think the wildcard there is going to be price and if raw materials go up or down and it has to be reflected in price, that would be one thing. But again, we're expecting that environment to be stable. When you look internationally in irrigation, we've got, I would say, our core developed markets continue to expect to see growth from the solid fundamentals. We do have about $19 million in the first two quarters related to the Egypt order that we are going to have to overcome. And I think there's ongoing activity in that project market, but that's, I would say, a little bit of a wildcard on the international side is whether there's another larger project like the Egypt project. But the core markets, again, I would expect in that single-digits type growth coming off a very strong base from this year. Looking at infrastructure, obviously, the large project from Massachusetts this year, we've got some of that rolling over into the -- into next year. The current pipeline, we don't anticipate a similar size project as Massachusetts next year, but we do have a number of smaller to mid-sized projects. So on the -- but on the leasing side, we do expect, based on our line of sight today that will have an increase in leasing and then the road safety products benefiting from the additional infrastructure funding that's out there. So the outlook for our infrastructure business, I would say, is mid to upper single-digit type growth for next year.
Brian Drab: Okay. That's all very helpful. Sorry, if there's an echo. I wasn't here in on the call, and I'm hearing it again. But just a couple of follow-up questions. International, because if the core markets were up single-digits. Does that mean that international irrigation might be down actually given the tough comp with Egypt?
Brian Ketcham: I think that might be the case if we didn't have another project like Egypt, I think based on the activity that we're seeing now, we would expect that we're going to see additional projects like that. We just can't -- I mean it's hard to predict the timing of that. But there was $19 million of Egypt in the first two quarters of 2022. So --
Brian Drab: Okay. And then just to clarify on the Infrastructure segment, you have some tough comp with the Massachusetts project. But I think at the end, you said maybe up mid single-digit? Or is that including the projects you have a tough comp with the project or is that kind of the core infrastructure business, excluding any big projects would be?
Brian Ketcham: No, that was overall. I think we may be down a little on the projects if we don't replace the full value of the Massachusetts project, but we're going to be -- we're looking to be up in leasing and up in the road safety products.
Brian Drab: Okay, okay. And then just the last question for now. There's about $8 million to $8.5 million left in that Massachusetts project?
Brian Ketcham: Yes, about $8 million.
Brian Drab: Okay, okay. I’ll get back in line. Thank you.
Operator: The next question comes from Chris Shaw with Monness Crespi and Hardt. Please go ahead.
Chris Shaw: Hi. Good morning, everyone. How are you doing?
Randy Wood: Great, Chris.
Chris Shaw: Want to talk about irrigation margins. The fourth quarter margins were the highest that could find even going back to the sort of post drought early 2011, 2012 period. Is there anything funky going on this quarter in the margin? Or is it a replacement of parts just that much more higher margin?
Brian Ketcham: Well, I think. Just if you're looking at fourth quarter alone, I mean, obviously, the higher volume that we got from North America, that's not typical in our fourth quarter. That's generally our lowest quarter for North America revenue. That would be the one anomaly. Otherwise, I would say our fourth quarter margins would be more reflective of where we would expect to be. When you look at fourth quarter last year, we did have the LIFO headwinds. So stronger incremental margins than what you would typically see, but that's more because last year was lower than what you'd expect.
Chris Shaw: Can I just ask on except for the storm season. Was it mostly with the tornado’s, I remember being a lot of Tornadoes or is it just sort of literally like the ratios and hard thunder storms and things like that?
Randy Wood: Yes. There wasn't a lot of direct tornado hits. These were Midwest storms also there were wind related, but a lot of those Chris, were straight-line wins, more of that through Western and in Central Nebraska. And it was really May and June when we saw those storms roll through the biggest ones. So that's the volume that we really start shipping through June and July.
Chris Shaw: Got it. And then just on the backlog, that's always sort of a funky number in itself, but it's down over $50 million year-over-year. Is that just sort of mostly reflecting timing and potentially just the last year, I think you had some of Egypt still in there, right? So just could you talk about it?
Brian Ketcham: Yes, yes. So when you look at it year-over-year, last year, we still had $19 million of Egypt in backlog. I would also say a good chunk of the difference is timing, because last year, in that inflationary environment with a lot of price increases going on both in the U.S. and Brazil. I think we saw orders pulled up in the backlog earlier to beat the price increases. So I think -- those are the two things that really stand out. Infrastructure backlog is up, and that's mostly because of the carryover from the Massachusetts project.
Chris Shaw: Is that just a irrigation for the -- just sort of the -- I mean outside of replacements, dryland and conversion volumes have been a bit weaker this year. Has the pharma really -- are they waiting out the higher prices? Or are they -- do you think it's going to come back? It sounds like a little bit in 2023? I mean what is -- I'm just curious what maybe the -- your customer now thinks of the higher prices and where they're willing to buy at?
Randy Wood: When you look at some of the market research in the area of customer sentiment, you certainly see some apprehension related to where pricing has gone, some apprehension connected to where interest rates are going. So you hear that from our customers, but we always go back to the payback on an investment in irrigation. And we're really fortunate in this inflationary environment that we're seeing strong commodity support. And if you've got $6.75, $6.80 corn, your payback on a pivot, if you're going to get a 50-bushel lift, that payback is still a little over two years, which is what it's been historically. So we don't see a significant shift in the economic fundamentals of irrigated agriculture. I think that gives us an advantage maybe over some of the other capital investment decisions that a customer might be making.
Chris Shaw: Great. Thanks a lot.
Randy Wood: You bet.
Operator: The next question is from Brett Kearney with Gabelli Funds. Please go ahead.
Brett Kearney: Hi, guys. Good morning. Thanks for taking my question.
Randy Wood: Good morning, Brett.
Brett Kearney: On the infrastructure side, you guys highlighted and we've heard from some others in this space, what customers -- I guess, the U.S. state municipal level we're dealing with in terms of getting projects to move forward particularly on rescoping projects on the inflation side and then also to some extent, labor availability. Curious, based on what you're seeing in your business, some initial signs of deflation. As we look out into next year, if -- are you hearing or expecting if, I guess, inflation moderates and/or labor frees up a little bit on the construction side. Could that kind of loosen up some of these projects that have been hanging out there?
Randy Wood: I think that's a good prediction, Brett. And I guess, inflation is stabilizing, implying that we're not going to continue to see the sharp increases that we've seen over the last year. I think that's certainly going to help. I think the other thing is the money is now being appropriated and actually rolling into the bank accounts of these state organizations that are able to now invest the money. So I think there are a couple of things here that have kind of delayed implementation of some of those projects, unemployment access to labor, access to equipment that builds roads and bridges is something else. It's been a bit of a headwind here. So our view would be that a lot of those hopefully get a lot better in the second half of the year. And then as we enter the 2023 road construction season and those Northern markets in particular, where we'll see a lot of those headwinds have been eliminated and hopefully create opportunity for some good market opportunity.
Brett Kearney: Great. Thanks so much, Randy.
Randy Wood: You bet.
Operator: Next question is from Jon Braatz of Kansas City Capital. Please go ahead.
Jon Braatz: Good morning, Randy, Brian.
Brian Ketcham: Good morning, Jon.
Randy Wood: Good morning, Jon.
Jon Braatz: Randy, I think you mentioned that you met with the North American irrigation dealers recently. I guess my question is if this drought continues the way it is and -- do you think it could be impactful in terms of purchase decisions going forward or for -- to 2023? This when you look back at 2011, 2012, the drought there really spurred business on? And it's dry out there. Another couple of weeks, we might be able to walk across the Mississippi River, but is there a possibility that we could see North American revenues being North American units being a little bit stronger than maybe what you're thinking?
Randy Wood: There's a possibility, Jon. That's for sure. And it really -- it gets back to how significant is the drought and where is the drought. And what we saw back in '12-'13, I was in the North American business at that time as that drought continued east and it moved across Iowa and popped up in Illinois, Ohio and Indiana, as it starts to move continue east, the reality is these investments become much easier to justify. If you look at the yield impact in those non-traditional, these are maybe more supplemental markets for us, but in those non-traditional markets, the yield impact of having a center pivot and irrigating a crop for one year, your payback could legitimately be one year in some of those markets. So as that drought continues to move east as it continues to intensify, it could certainly open up some of those non-traditional market for us and create some upside opportunity. And we feel we're in a good position when it comes to dealer channel, when it comes to technology and innovation, those are high motivators for customers in those parts of the country. And we feel like we'd be in a good position if we do start to see more market opportunity there.
Jon Braatz: Yes. And those non-typical markets, let's say, East of Mississippi. Is the availability of water on Aquifer, is that at all an issue?
Randy Wood: It's going to depend on where you are North to South, and I can't give you kind of a universal answer that would apply everywhere. But for the most part, there are areas, if they needed the water either through surface or groundwater, they have access to. So we don't see that being a significant limiting factor if the customers need to irrigate because of the drought, I would say, for the most part, they're going to be able to find access to available water.
Jon Braatz: Okay. Thank you very much, Randy.
Randy Wood: Thank you.
Operator: [Operator Instructions] The next question comes from Brian Drab with William Blair. Please go ahead.
Brian Drab: Yes, just one more question on the irrigation segment, given the commodity prices like input cost deal primarily have come down. What is your stance on and what you'll do with price in the -- on the center pivots in the near-term and throughout what would you predict will happen with price throughout 2023?
Brian Ketcham: Yes, Brian. I would say right now, our view, again, as far as the raw material outlook to be overall, fairly stable. As I mentioned earlier, we did see -- we have seen some reduction in some of the hot rolled coil prices, but we've had continued inflation in structural steel and other things. So -- but our view is, let's say, we continue to see at some point in the year, more substantial softening in our raw material costs. Our view would be in a strong demand environment, we should be able to hold on to price -- and that would be our view. At some point, if we have to respond to competitive actions, we would do that. But our view is -- right now, we've got an opportunity to maintain our price.
Brian Drab: And you have not lowered the price, is that correct? With any of the recent pullbacks in commodity input cost?
Brian Ketcham: No, that's correct. And in fact, as recently as September 1, we implemented an additional, I would say, modest price increase, but we have not lowered price at all.
Brian Drab: Got it. Thanks very much.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Randy Wood for closing remarks.
Randy Wood: Thank you all for your interest and participation today. We're very pleased with fiscal 2022 results and look forward to carrying that momentum into fiscal 2023. The Infrastructure segment continues to be supported by incremental funding provided by the Infrastructure Investment and Jobs Act. The irrigation segment continues to see strong drivers connected to high commodity prices and international project demand offset slightly, but rising input costs that may have a detrimental impact on customer sentiment. The positive ROI provided by an investment in irrigated agriculture will continue to support strong markets around the world. Both segments benefit from strategic investments in technology and innovation that improve customer profitability, while conserving resources and making our roadways safer. This concludes our fourth quarter earnings call. We look forward to updating you on our continued progress following the close of our fiscal 2023 first quarter. Thanks for joining us.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.